Operator: Good day ladies and gentlemen and welcome to the Third Quarter 2017 Amedica Corporation Financial Results Conference Call. As a reminder this conference is being recorded. It would like to introduce your host and speaker Dr. Sonny Bal, Chairman and Chief Executive Officer. Dr. Bal please begin.
Sonny Bal: Thank you Rob, for that introduction. Good morning and welcome to Amedica Corporation’s third quarter 2017 earnings and business update call. By now everyone should have access to the 10-Q for the period ending September 30, 2017. Some items that I will be discussing today will include forward-looking projections such statements are subject to risks, uncertainties and unpredictable variables that are more particularly described in our SEC filings. Actual results may therefore vary from those projections made in our forward-looking statements or the statements that I make today. This year Amedica has been primarily focused on stabilizing our spine sales and on restoring the Company on the pathway to growth. We have increased surgeon users of our products by 30%, increased sales agents representing our products by 15% and added new spine industry executives to our ranks particularly in our sales. In addition, we have focused on the launch of the Taurus Pedicle Screw System. Surgeon adoption of this system has been very encouraging. Over 200 surgeries have been performed to-date with the Taurus System, generating over $1 million in new revenue year to-date. Amedica is releasing additional instruments sets to the market to meet surgeon demand. We expect that the release of these additional instrument sets will result in increased revenue for this system. Amedica will continue to focus primarily on the U.S. market, while also pursuing opportunities internationally in markets where our products are cleared for use, such as Europe and Brazil and earlier this year Australia. In order to get a high-level view of the effectiveness of silicon nitride spinal implants and also to support our sales Amedica launched a multi-center retrospective clinical study to look critically at the clinical outcomes of our implants. Our research team is reviewing hundreds of patients that have received silicon nitride implants over the last eight years. We expect to present and publish information in the coming months. Amedica remains committed to a very robust R&D program with 19 peer-reviewed journal articles, eight published articles in the proceedings of annual scientific conferences, two new patents and 24 presentations made at scientific conferences and that's just this year to-date. We are now in our third-year of a strong collaboration with Professor Giuseppe Pezzotti and the Kyoto Institute of Technology in investigating the underlying scientific principles of the osteosintegrative and bacteriostatic nature of silicon nitride. We have also initiated research collaboration's and projects with Texas A&M and Clemson University focused on exploring the feasibility of new biomedical applications for silicon nitride. So from almost no data of just a few years ago Amedica today has over 50 scientific papers and testing to the efficacy and showing the underlying mechanisms of action of silicon nitride. The Company invested in 3D printing capabilities and is now planning for the next wave of silicon nitride spinal implants. Those implants will have market leading design and structural properties in terms of prosody and biological activity. Partly in relation to this development, Amedica filed a 510(k) submission to the U.S. FDA for its Valeo C+CSC with Lumen spinal implant. This submission is a key step in introducing a proprietary porous silicon nitride technology to the U.S. market. We are looking forward to the FDA’s response. Also Amedica has ongoing relationships with multiple corporate partners and has collaborating with them very actively on the development and commercialization of silicon nitride outside the spine market. These relationships are very significant and were all made possible entirely by partners attracted to the strength of our R&D platform. On the finance side, as a result of a recently executed reverse stock split, Amedica anticipates regaining compliance with NASDAQ listing requirements by the end of this week. Maintaining the NASDAQ stock market listing is important to our shareholders and our corporate image. The company successfully completed a review of its first, second and third quarter financial results. Those results have now been filed with the SEC and are available on our website. We have reduced our total debt to approximately $4.6 million, down from $7 million in December 2016 and from the much higher debt levels that we will all recall from the past. Throughout Amedica has remained compliant with its debt covenants. Under the Hercules and North Stadium loans most recently and is on schedule to have those loans paid off by early January 2018 for the Hercules and late July 2018 for the North Stadium loan. Overcoming that is a huge accomplishment that took a concerted team effort and we will enter 2018 with minimal debt. So to recap, we have stabilized our spine sales. We have executed a very successful new product launch. We have continued strong investment in R&D efforts to support our material platform. We have collaborated with external partners to develop additional biomedical applications of silicon nitride and importantly we have maintained fiscal discipline throughout. Third quarter total revenue was $3 million a decrease of $0.4 million from Q3 of 2016. Our silicon nitride ceramic products sales were responsible for 41% of product sales and decreased by $0.7 million as compared to the same three-month period in 2016. This decrease was from a loss of surgeons and the expected consequences from a major restructuring both of which occurred in late 2016. Now in 2017 we have made efforts, we have added new surgeons and we're working to make up that deficit, that revenue loss from 2016. Price erosion also contributed in part to the decrease in revenue. International revenue increased $0.03 million during the three months ended September 30, 2016, as compared to the same period last year. Metal sales were responsible for 59% of product sales and increased by $0.2 million compared to the same period in 2016. Our cost of revenue increased $0.6 million or 84% as compared to the same period in 2016. This was because of an increased in the provision for inventory reserve to $0.9 million during the three months period ended September 30, 2017, as compared to an increase in the provision for inventory reserve to $0.2 million in the same period in 2016. Net loss for the third quarter 2017 was $2.8 million, compared to $4.3 million in the prior year period. The decrease in net loss is primarily the result of a decrease in our operating expenses associated with the October 2016 reduction in force and restructuring and other efforts to reduce costs. Cash totaled $2.8 million as of September 30, 2017, operating cash burn decreased to $4.4 million for the nine months ended September 30, 2017, as compared to $5.3 million in 2016. Bottom line with costs and debt finally under a reasonable control, and the science behind a material is fully validated, the focus going forward is entirely on growing our sales numbers. Thank you for listening and your support of Amedica. We will update with new developments as they happen. I look forward to another earnings call next quarter. One important point, while the session is not open for questions-and-answers, we welcome your input, your suggestions, and your questions, and please send those to IR@amedica.com, that’s IR, India Romeo, @amedica.com, and we will be sure to answer them. And Rob, that concludes our call.